Andrew Higginson: Good morning, everyone. And welcome to the JD Interim Results. I do feel slightly overdressed here this morning, I must remember to give a call and work out what the dress code is next time. It's been an incredibly busy first half. And I have to tell you that the pace at JD is quite extraordinary. As Chairman, of course, I stand above this and sort of my pace is a bit less, but it's interesting to see. We continue to make really great progress and the -- on the plans that were outlined at the Capital Markets Day, I mean it is hard to think that the Capital Markets Day was only in February this year. And so the pace that we've been going at since is extraordinary.  We've continued to build the infrastructure within the business and the foundations have been further strengthened, I think. Regis has continued to build out his top team with new CFO, new CTO, we've got a new group legal counsel. The governance program we've got in place has been forging ahead. Pete might be able to talk to you a little about that. He's been very central to that.  We've added three new Neds to the Board to add some deep PLC experience to a very good Board. And we've continued with things like disposing of the fashion brands. We've announced our plan to acquire the minority interests in Iberia, Germany and Central Europe. And, you know, subject to competition clearance, we've announced the acquisition of Courir in France.  So I mean, in terms of things we've got on the tick list for the last six months, it's certainly been a very, very busy time. And I commend the management for their incredible efforts. I think we've also watched with interest how the stock has been buffeted a bit by results that other retailers, we've seen the concerns that have come from the performance of people like Foot Locker and Dick's and so on in the U.S. And I can't remember this at Tesco. And where JS results always used to sort of have an impact on Tesco.  Yes, over time the Tesco business became double the size of Sainsbury's here in the UK alone, let alone all the other things we're doing with international. And while certain market conditions affect everyone, we were also on our own path in a way, you know, we were also shaping our own destiny. And I hope over time, that JD will start to be seen in that way. As the sheer number of opportunities we're pursuing the growth aspirations were laid down in that capital markets, they become more tangible. We are in and off the market, of course, but we're also on our own path. And it's important, I think, to remember.  Anyway, I'll hand over to Regis now, who will take you through the numbers. I do want to thank him. Thank you, Regis and the team for the extraordinary efforts in this first half. And I'll let him take you through now some of the numbers that underpin that.
Regis Schultz: Yes, thank you very much, Andy. And thank you for your kind words. Can you hear me? Is it okay?  So good morning to everyone, here in the room and on the -- and who, for the one who are watching us on the webcast. And thank you for attending our interim results presentation today. Today, I will do a double act, I will do the financial and strategy update. Dominic is joining us on the 4th of October, so not a long time, but he is joining us on the 4th of October taking over from Neil. And despite Andy has been a CFO not long time ago, two or three years ago. And me is the same. I've been a CFO too, but we feel more comfortable to have Pete Fox with us to answer your tricky and picky question at the end of the presentation.  So let's go to the presentation and share with you the numbers. So in the first half, I think you have seen that we have delivered on our strategy and our triple double objective. As you remember we say double digit growth, we are delivering 12% organic growth. Double digit market share, we are gaining share in every market we operate including UK which is a more mature market and double digit profit. And as you have seen, we are on track to deliver more than 1 billion profit for the full year in line with our guidance. We have done particularly well in North America and we had all the scrutiny around North America. But we have done particularly well. I think the numbers is telling. Premium organic sales has been growing by 15% and our profit grew by 12%. Which I think it's a first class performance.  As we said during -- as we said we are delivering the full year profit before tax and adjusted item guidance of 35% in the first half of the £1,040 billion that we want to deliver so for the full year. This is down £10 million compared to last year. But as you remember, we are going back to the normal first half second half split. And last year, in the first half our margin rate was artificially high, because of the fact that we had no clearance and no stock in the market at the end of the quarter.  We are on track to deliver more -- to open more than 200 store, new JD store worldwide. In line with our plan, we opened 83 stores in the first half. And finally, we have a strong balance sheet, we have a strong cash position with £1.3 billion of net cash on our balance sheet, which give us the ability to increase our dividend to go back to the cover that we have before the pandemic.  So the next slide gives you a more details understanding of our gross by region. So this is our total business gross. So you can see that and you have you know the total gross 8%. This includes the divestment that we have done at the end of last year, which we have a very small exchange rate impact, which means that we're going from 8% to 7%. And in terms of currency you have a 12% organic growth. So the difference between organic growth and like for like is a new space that we add in the market relocation and so expansion. This is 4% for the first half, this will increase in second half, because we open a lot of store in the first half and even more store in the second half.  As you can see from both like for like an organic perspective, the sales growth has been good in all region. So if you look at APAC is leading the way with a 24% growth in terms of organic, 15% In terms of like-for-like, followed by Europe and Europe, we already have big business and this business is growing very fast with a double, double 19% growth in terms of organic, 12% in terms of like-for-like. North America, plus almost the same as Europe plus 14% organic, plus 8% like-for-like. And in UK, which is this is our total UK as you will see for JD we do better than that, but it's a plus 5% and plus 4% like-for-like.  If you go to our P&L, and I think we can look at our P&L in more details. Revenue line £4.8 billion for the first half. And just to echo what Andy was saying, £4.8 billion, this is more than a total year 2018 turnover. So it's not long time ago, that was five years ago, that was our full year turnover. This is now our first half turnover. It gives you a magnitude of the growth that we have delivered and what we want to deliver for the future.  Margin 48%, last year it was 48.5%. I think if you want to compare like-for-like we should say 48.8%, because there is a 30 basis points which is linked to the fact that we reclass the delivery income part of revenue versus part of netting the cost. So there is 80 point below last year, which is completely in line with our expectation. And the fact that last year we had no clearance at the end we had no stock especially in the U.S.  So we are very comfortable for 48%, 48% is 1.5 point 1 point more than pre pandemic level of margin for the first half. And if you look at our history, we always have a better margin in second half than first half. So that has been consistent through the years except during the pandemic one.  So that for the margin. We have in this margin an increase shrinkage because that has been one of the question asked, but this is really very small for us. We see an increase but from a very low base, as you will see in our stock which is the most valuable stock which is around footwear is not on the sales floor. So, the ability for the consumer to walk away with a pair of sneakers, they can have one pair, oh no not one pair, one shoes, which is a demo shoes, but it's not going to impact us very and it doesn't look cool when you wear it. So we have less issue around that. So that's only so the increase shrinkage is six basis points of margin in the first half which is not really significant. In terms of our cost at 10% which and that is 8.5% if you take like-for-like, if you take into account the reclassification of the delivery cost. That's reflect the investment that Andy was mentioning. We have invested a lot in the first staff and invest in our people first. As you know in October last year, we decided to increase the sales assistant salary almost by 30% by removing on the age policy that is £45 million investment in total for our staff. That is reflecting in our P&L.  So again the investment has been around acquisition, you know the cost of doing the acquisition of Courir, Conbipel, Gap. That is around a 10 million deal for the first half of one of that we have in our P&L. We have a successful effort to improve governance and strategy which we are we have of course some cost around that. And infrastructure and IT, we are dual running of DCs. So we still have and that is really protecting us from a big bun. So in UK as you know, we have open Derby, which is our new warehouse completely automize to ecom. But that is still doing in Kingsway, we still have doing both in parallel. So we have the two costs.  Same in Europe, we have Heerlen, which is our warehouse in Netherland, we are starting to implement all the automation and other stuff. At the same moment, we are not using it so we don't get the benefits. So we have the double running cost of that. And that is a significant for the first half.  On system, we have done a lot of investment, around £10 million around security, because we had -- we wanted to make sure that we have the right level of security. So that's a £10 million investment in cybersecurity, we have the cost of our new HR platform program and a new digital program. So all that has been done at the same time that we have developed a business.  If you look at PBT, I think that you see that is down by £10 million. At the same moment, if you look at PBT before tax and it's plus 26% reflecting the fact that we have less than negligible impact of adjusted item for the year. And you can see the dividend per share. So this is a big test for pronunciation for French guy. So we move from 13 to 30. Hopefully, not the other way. But that's a bit trying to have this test for my pronunciation skill. So, thank you for that, trying to pass it. If you look in more details, and this is our premium sport fashion business, which is driving revenue growth. So, this is the way we segment our activity. As you will see premium Sports Fashion which is mainly JD represents 75% of our turnover, 85% of our profit and also growth in the first half, this is where we are investing, this is where we are focusing and this is where the growth is coming and the profit is coming. You can see we are not far away from a double digit profit. It's down year-on-year reflecting the investment that we have done in terms of cost and at the same moment the gross margin reduction.  In Other Retail Fascia, we see some organic growth, but total growth is down because of the divestment of non-core business that we have done at the end of last year. Also business you can see that the same that include our gym business, which is doing very well is going down in terms of sales because of the divestment, but at the same moment profitability is going up. Thanks to the gym business.  Our outdoor business has been flat in terms of sales, reflecting growth in terms of store sell, and a decrease in terms of online sales. And in the period we have some small one-off costs that has been taken, which means that we are a little bit below last year but should be okay for the full year.  Now, if we focus on the premium revenue growth in all region, which is the one that is the most important for us and which we focus. So what you can see is that all regions are growing and are growing at pace. And you can see the difference between the different region, the same UK is doing well. And I think that for mature country, we are delivering 8% growth and 5% like-for-like. You see Europe in terms of EBIT, this reflects the investments that we have done because all the investment in infrastructure is through the UK P&L, because the PLC is in UK that's reflect little bit that is going down a little bit.  Europe has been growing at 28% -- 27% organic growth and 15% like-for-like. North America plus 15%, 9% like-for-like, and APAC 26% plus 15%. So you see a very nice picture for our growth and you see the opening of new store in the region.  In terms of cash, and you see the comparison between last year first half, so this is first half comparison, we generate around £200 million cash from the activity, up from 67 last years. Our net cash strengthened by almost £300 million from £1 billion last year to £1.3 billion this year. And on CapEx, you see that we are increasing our CapEx and I will go in more details around our CapEx expenditure for the first half.  So this is our first half expenditure of CapEx for the last three years. So, you see the increase of CapEx mainly around the store and infrastructure, but store has been taking 50% of our investment which is in line with our guidance we give you during the CMD, so that's 50% of the CapEx going through store, a third is going through a supply chain with mainly Europe which is the Heerlen project and North America which is a warehouse that we are building on the West Coast. And system and other is the investment on cybersecurity and the investment in terms of our HR platform.  So that was a quick run through our financial. There is an appendix II, which will be on the website by now and which has a number of detailed financial slides to help you with the model. Now before we move to the strategy updates there is a short video I wanted to share with you. [Audio-Visual Presentation] I think the video do a better job than I do. But let's try to compete with the video. So the strategy as we cover in February of this year is to be and we are the leading global sport fashion powerhouse and retailer in the world. And with four pillar, JD Brand First, JD Complementary Concept, JD Beyond Physical Retail, and JD best for people partner and community. So we have this ambitious program to open more than 200 stores and we are delivering on it, so we will open more than 100 store in the U.S., more than 100 store in Europe and 25 store across the rest of the world.  And in U.S. we are opening in some of the best mall in the U.S., so we have now opened in Aventura mall, which is a number three mall in the U.S. by traffic in American Dream in New Jersey which is a number two mall in terms of traffic. So that has been part of the openings that we had. In Europe, Big push in Italy, thanks to the Conbipel acquisition, we opened 21 store and we continue to look at acquiring those fashion store from distressed retailer in order to accelerate our expansion in Europe and access to location near the fashion retailer, like we have done with GAP store in France that we will open at the beginning of next year.  In the rest of the world, we are continuing our successful store expansion in Australia, New Zealand and Southeast Asia we will see some picture of Australia. Our model is a winning one and you know the overall return remain unchanged. We are -- all the project that will approve are below three years’ payback. It's around on average two years. And at the same time, if I look at the first half, we are delivering 30% more than the sales that we have in our previous results. So we are continuing to, to have the same discipline and accelerating our development.  If I look at some of the store we open, we don't forget our own country. UK, we open our 400th store in Derby. It's a 100th store in retail parks that was opened in July. We have opened as I said before in Aventura mall in Miami. Pitt Street has been our biggest opening ever in terms of sales for the first year -- for the first day, and Colombo Lisbon, we open for the first time a big store in Portugal. Colombo is the number one mall, and Colombo is the part of our top 10 store in Europe, including UK, as we speak. So great success, you can see that look and feel and the quality of the execution, it looks the same. There is a little bit of -- there is localization of some product, but it looks the same as in Courir, we show up the same way, we deliver the same quality all across the world. And that has been part of our success. And the ability really to understand global trends and to deliver that to the consumer in a consistent way.  In terms of a Brand First, as mentioned by Andy, we have done the acquisition of the minority shareholders that we had in Europe. So we are now in a position to simplify the group and to make it and to be more relevant to our strategy to put JD first with in Iberia and Netherland with the acquisition of ISRG. The acquisition of the remaining 40% in MIG in Eastern Europe, and the acquisition of minority interest in Malaysia, Thailand and Singapore that give us most flexibility to accelerate in Thailand.  And we are open -- we are signed our first franchise agreement with GMG for the Middle East. So as we said during the CMD, we are looking at an asset light model to develop in Africa, Middle East and Southeast Asia. We have -- we are very close to agreement in South Africa and some parts of Southeast Asia that we will, I think will update you as we speak. So we are on track to open more than 200 stores across the globe. And we concur a new market with a new asset or asset light model with franchise in the rest.  JD complementary concept. As we said during the CMD, we made this commitment to rationalize and focus our portfolio. And I think we are well on the way around that. And at the same moment to continue to develop concepts that we can leverage across the globe that we can use our infrastructure and that could be complementary to JD.  So the first one has been the acquisition of Courir to really respond to this customer to this female customer. This female market is underserved in our industry. And we believe that with Courir we have the right offer and the right concept to respond to. And that will give us the ability to leverage across the world with Sizeer that we have as a brand that we have in Eastern Europe and with Finish Line Macy's in U.S. So we have the infrastructure to leverage and to make it a more global brand.  So where we are in the process, we had the approval from the world consult. We are in the pre-notification phase with the European Commission. We are actively answering cooperating with them to answer their question around market definition. And we believe that it should be a Phase 1 filing and we'll update you as when we appropriate but it's likely to be big enough next year and of this year at best.  We had a strong performance of our complimentary brand in North America, DTLR on the east part, Shoe Palace on the west part. They've done a great performance, they contribute to our strong U.S. performance. So we are winning with JD but we are winning not only with JD, we're winning with JD and DTLR and Shoe Palace. And we see the potential of this committee brand in the U.S. and the potential to consolidate this proposition across the U.S. So we are looking at the synergies the ability to consolidate and to deliver a strong proposition around this community brand. And that is in line with JD development.  We have rationalized our pinnacle offer, we have this very important for JD to have this offer with size and Footpatrols that give us the ability to understand the trends. So Footpatrol and Sizeer are trading very well. We manage all the street brands around IP [ph] and that is doing well. And we continue the divestment in the first half with some of the small business that we are going out of.  Physical -- beyond physical retail, I think it's about three things, the infrastructure in terms of supply chain, the IT, and the loyalty, how we communicate how we create an ecosystem for our customer. First thing, our loyalty program, we commit to do that at the CMD. It's live in Manchester, I'm really happy that we are live in Manchester. So we have 10 store on trial. So this is going well. So this trial will end in October where we will, if everything goes well, we will be live for the UK.  I think the trial has been really great for us to understand how we create this, you know, really this ecosystem, this is super app for the young adults. And that's really the vision we have is to really use the power of attractions that we have to propose a more lifestyle experience to our customer. But the first step is to build this variety up which is done to reward the customer with a simple and compelling proposition which is a 1% cashback and to grow from that the customer lifetime value to increase our share of wallet and to deepen our customer relationship via partnership.  So we are really happy about the first element of engagement with the consumer, I think we will see in fact the uptake which is higher than the one we were focusing and we looking forward to rollout in the UK later in this quarter and in Europe next year.  Investment in our technology, as I mentioned, the first thing was to put the house in order and the first priority was our cyber improvement program, to make sure that we have done the first phase, which is to really to look at and to go after immediate weakness in our security architecture and reinforce our first line of defense. So that has been done, we have to spend a lot of money as I said before to do that. We are now in the second phase which is to become that as business as usual. We have a new CFO, which will start in October, great person that will be able to go to the next phase which is around being best-of-class in terms of security.  We continue to explore omnichannel we will and shortly can collect we are doing a test in France as we speak to make sure that we have the software for our customer, as we have been developing our online presence more as a pure player then as an omnichannel experience. And at the same times we are replatforming our e-commerce, we start -- so we signed with e-commerce tool for Europe. So we will have a same solution for U.S. and Europe, two instance but the same solution. We are at 50% completion in U.S. of the replatforming have with commerce tool and we start the journey in Europe.  That has the same moment is not a big band is we are taking some breaks out of what we do currently to replace it with commerce tool which is a better tool for the future. Supply chain expansion. We have a clear vision where we want to be one warehouse for UK because of Brexit, all our supply chain was based from UK in the past, and that no more was a case, it creates more cost and more complexity today. So we will have one warehouse in UK for B2B and one warehouse for B2C with Derby which is running. We are 20% facility, we moved to 24 hours a day and seven days a week, two weeks ago and we are ramping up and doing well. So I think that -- but we have the double running costs for the time being between Kingsway and Derby. For Europe, Heerlen, is our future facilities the same we already have a facility in Netherland that is not big enough in order to under the volume but we are still running that. So for the moment we are doing partly from this facility and partly from Kingsway for Europe, to more Heerlen. So to Heerlen, we are just as we speak, we are finalizing the equipment, we will have the first order delivered to Heerlen in October -- in December and after that we will start to ramp up.  But the same is not a big bang. We still have Kingsway and the other facilities that is able to cover the need if we need so that means that we prefer to have the double cost than to have the risk of a big bang. So that's part of the European P&L and that is a major driver of the future profitability of Europe. And we have in U.S. Morgan Hill, which is on the west coast for the moment our supply chain is east driven with Indianapolis being the major warehouse that we are using. Having a West Coast warehouse would give us the ability to stop to do something which is stupid that the goods is arriving in LA go to Indianapolis and go back to the west coast which doesn't really make sense. It's correct cost. But that's the same we are looking at 2025 to be full capacity with Morgan Hill.  So that is for investment in technology. In terms of our people, partner and community. The first thing is that our commitment to our people, yes, we have invested a lot and you have seen that in the P&L for UK, we see the cost of increasing the sale of our sales associate, but I think it was the worst investment, our turnover is down 50% divided by two, thanks to that. So we have done the right things for our people. And I think the right thing for the society by investing £45 million this will analyze in October this year.  We have a new CFO as mentioned by Andy, we have now a global leadership team that is full, not sure it's the right word, but it's an old position out there with a new CFO, which is Dominic Platt, that will join on 4th of October, a new CTO that will join us mid-October too. And we are building a new HR global platform that gives us the ability to more leverage our people across the world. I went too fast. Best for partner, I believe I'm strongly believe that we are Nike number one partner in the world. So that's new, because it was not the case one year ago. So we are the key global partner for Nike in their development. We are the larger global partner for Adidas for Original and for the Terrastyle and that is give us a big competitive advantage on the market. And we are developing a partnership with a fast growing brand which is on Asics, New Balance, ORCA in Europe. We will be the first one, you will see that ORCA in 10 of our store in the UK already.  Commitment to our community, we invest in our community, this biggest investment we are doing is to give job to our people, our people are the same as our customer. And I think that they recognize that and that creative, the attraction for the concept and for us, we have a foundation that is part -- that is really about changing life of the young people giving them opportunity to do the best that they can do in life. And that is where we are investing.  And we improve our sustainability. I think we continue to be committed to our sustainability agenda. We believe in it, we believe long term, we are A minus for the climate change organization, which is a silverpoint head of all our retailer in that and we have made a huge investment in terms of solar panels, all our energy come from renewable sources in Europe and in UK.  And just to come back to the beginning, I think that we have a very solid and very good first half, double digit growth, double digit market share, double digit profit, I think we can see doing well on all the key elements of that. We are investing a lot of money and I think that we feel proud of that buildings infrastructure for the future. And we continue to see U.S. as a key market for us and doing well in the U.S., despite everything that has been said.  I wouldn't do me no more on the U.S. know what you think. And so let's go to the Q&A. So Pete Fox will be here if you have some very precise question that we are recording this and there are mic in the room, so please, yes, please do that. To get the mic and we'll be happy to answer your question. Yes. And I will stop to be -- stop to talk.
Q - Richard Chamberlain: Thank you, morning. Richard Chamberlain, RBC. Maybe I can just kick off with a couple of questions. You Regi, you just spoke about the dual-running costs going on in the UK and so on and then presumably in overlapping into Europe. Can you sort of quantify how much those are and when we'd expect those two to ease off? And then the second one is outdoor, I know it's a much smaller business. But you know how core is that to JD these days? Is there still significant synergy, I know it's obviously brought North Face and so on in the past but is there significant synergy now between outdoor and premium sports fashion? Or should we think of outdoors a sort of non-core for JD? Thanks.
Pete Fox: Yes, so, I think outdoor is part of, as you say it has create a lot of value for us in terms of getting some outdoor brand and I think that is part of what we have. It's not strategic, but it's not out of scope. So I think that for us, it's something that we continue to develop. We can see that some, some things we can do better in terms of rationalizing our portfolio of brands and things that we are looking at that and expanding our offer for the consumer. So we are really, we think it's a good business and the business we want to be in and, but that's, that's where we are. In terms of one-off, and it's always complicated to say what is recurring and not recurring, but I will say, if you take the first half there is £40 million, of course, which are some recurring, some not and some one-off, some not. So that's the magnitude of what is. To give a precise timing with it's not possible. What we don't want is to take the risk. So I think that what you need to understand is that you have the risk to go quick and to say I close a warehouse I build a new one. That's not what we're doing. We are too big to do that. And we don't believe it's the right thing to do. So we prefer to get 10 million 15 million more cost for six months or 12 months. And as in the security of doing that in a proper manner. That's the type of magnitude. But I think that the biggest one is the cost benefit of having a warehouse in Europe, which will make the profitability or Europe much more in line with the U.S. one, compared to what it is today. And today it's quite far away. And I think that its impact even negatively because we have a lot of opening the company better one, which is a lot of pre-opening costs, because we pay the rent for the Gap store on the company store for nothing, no activity. So that will improve a lot. European profitability shouldn't be in line with the U.S. one, there is no reason perhaps one or two-point difference because of staff costs, but there is no reason why Europe that beyond like it is today.
David Roux: David Roux, from Bank of America. Just a couple of questions from my side. It's been about a year since you launched the digital connect partnership with Nike. Could you perhaps just give us your observations and how this has helped the business? And then secondly, just going back to the non-core business disposals, could you tell us give us an update as to what value of businesses have been disposed already? And how much more is there potentially to come? Thank you.
Regis Schultz : So the non-core, Pete is a specialist of non-core.
Pete Fox: Yes, so I mean, clearly not a significant part of the group. But roughly about £450 million of turnover. That's come out year on year as a result of divested businesses. There are still some businesses that will be divested. And you'll see those in our interim statement is held for sale. But again, in the scheme of the overall group, kind of not, not huge.
Regis Schultz: And concerning connected, I think the major benefit of connected for us is to work more closely with Nike in terms of system, putting the system together, understand how we can leverage value together, how we can understand customer. So it has been a great journey, working with Nike, really putting the two company in a very close relationship and sharing a lot of information and way of looking at things.  So that's has been really the big benefit for the time being. This will accelerate with the loyalty program, because that will give us another tool to understand what's happening in store for the moment we only have the ability to open -- to understand what's happening online, tomorrow with the loyalty program, we will have the ability to understand what's happening.  So great journey, it's a fantastic partnership. I think that we have a -- we learn to work together and to work in a very nice way and in a very profitable way for both companies.
Kate Calvert: Morning, Kate Calvert, from Investec. Question on shoe palace and DTLR. Can you give some more color around the main drivers of performance, because I would have thought that their demographics might be slightly more impacted by the economy?  And then the second question is on your 200 plus store openings. Could you say how many of those are going to be conversions from finish line and are there going to be any franchise openings, do you think you might get one of those in before the end of the year? 
Regis Schultz: Conversion, I don't have my top of mind that.
Pete Fox: So about 60 out of the 100.
Regis Schultz: Of the U.S., yes. 
Pete Fox: We'd expect to be conversions.
Regis Schultz: And no franchise in it. DTLR, Shoe Palace, I think that, you know, what is driving that is really benefiting from the synergy with a group and I think that, if you look at Shoe Palace, most of -- a significant part of the growth come from the conversion, and we have implement our and help device the way we process with consumer. We share this information, they were very Nike dependent. They are now getting a better share of New Balance of on.  So I think that they are by working with us and this is where we believe that there is a potent in complementary brand. We are leveraging what they are, with a great retailer, great understanding of their customer base, and we give them some process that we have, which are really, we are monitoring the time it takes for you to get the shoes, when you are in front of the display, and you say I want these shoes, we are monitoring that and we are putting a lot of process behind the scene in order to get issues quickest as possible.  And that's something which makes a big difference in conversion rate, it's something as simple as that. But sometimes retail is simple and when you start to complexify, you start to lose your way. And that's one of the things we give the technology to them to for the success, meant to say, Oh, I don't have this pair, but I have this pair, I have this pair in other store and we have seen an increase conversion in both case.  So I think that -- and plus they're working together, DTLR is a great retailer in terms of apparel, less so in terms of shoe -- footwear, and the opposite for Shoe Palace. So I think it's really the benefit of working in environment where they get the trend and trend not only in the U.S. so they get a little bit larger view around the world. And I think that it's helping them to see what's happening and better process and more synergy between the two brands.
Jonathan Pritchard: Hi, there Jonathan Pritchard, from Peel Hunt. Two for me. On apparel in the states, I think it's now in the 20s as part of the mix, how do you sort of kick on again from there to get towards the sort of Europe, Australia, U.K level? I know that obviously with badge flips, that will increase the percentage but how do you continue to move that power percentage forward? And then secondly, how many discussions or how top of mind have share buybacks been?
Regis Schultz: Okay. So share buyback, I think it's not top of mind, and I think it's something that we will ask Dominic to review when he joined and with a strategy around what we do with our cash. But I think that is definitively the last things on the list. So I think the first, we always say is about investment in our stores. Second is about acquisition. And after that, if we have time, we will do something around the dividend and share buybacks. So I think that there is no program and there is no discussion around that for the time being. And I made the mistake last time, so I will not make it again to start to discuss about that, and you start to be very excited. We -- so I will not make it again. After that, the Board will be crossed with me. So I will not do it again. On the first one, on the apparel, you're right, we are increasing. Still far away from where we want to be. I think that, as you mentioned, it's 50% of our mix in U.K., 40% in Europe, and it's 25% in the U.S. And I think we -- partly, you're right, it's a badge fleet and partly is having better product and better range. I think it's building our expertise. We have someone as the lead buyer from apparel in U.K. moved to Indianapolis to continue to share our expertise, to share our knowledge, our way of doing things. So it's about learning. It's a learning curve. We didn't get -- in UK we start 100% footwear, and we are now 50%-50%. So it's just a question of time. The good thing is that by having the expertise across the world, in Australia, we are 50%, 50%. So we are able to move people with the expertise. We are able to leapfrog the time it will take if it's a normal development. So we have -- the good thing is that contrary to our main competitor, we have the space. So it's not a question of space. Now it's a question of having the right product, the right expertise to deliver the growth. She is in-charge. 
Eleonora Dani: Eleonora Dani, from Shore Capital. Three for me, if it's okay. So there is an impressive 20% uplift in sales when you convert store to the JD First. Could you remind us what the key drivers of that? Secondly, with the acquisition of the rest of the Iberian business, what are you looking to do differently compared to what you're already doing in the region on top of more comparisons to JD presumably? And there is a mentioned statement of a selective growth opportunity in the U.K. Could you maybe provide some color on what those are? Thank you.
Regis Schultz: So conversion, yes, we still see 20 even more than that. I think the main driver for me is it's a new store, a new proposition. You get more excitement. I think the other thing is around -- so that's brand things. The fact that the mix is different. We have more apparels and we create more traffic. So -- but I think the main element is the modernity of the concept and the quality of the execution. I think that's where we see the benefit. In terms of the minority, I think that -- first, I think it simplifies the group. I think it was complicated, and I'm not sure we will -- we really have been able to implement our strategy by 50-50 because there's someone else who have a different view on the strategy. So it gives us the ability to accelerate JD development. And that's really what we are looking is how we leverage those business where we have started to develop JD, but I don't think we put all our resources and our priority around developing JD, because they had another business, and they try to do a little bit of the two. What we will have a clear view, which is JD First. If I take Portugal, for example, we know that we are in the space and Colombo has been a great wake-up call for us, where our store in Portugal is at 150 square meters. They're really timely. They're doing well. But we know that the best proposition for JD is a 400, 500 square meter. And for the moment, we have not find those stores. I think there is a way to accelerate that by leveraging what we have. So I think this is about really leveraging and making sure that JD First strategy is implemented in those areas. On UK, I think that U.K. growing. You see the numbers. And I think that we are expanding the store size. And every time we do that, sales per square foot go up. So we still have this really fantastic challenge. We see where is the maximum. So we are trying to get there, and we're still not there. So hopefully, in Trafford where we will open a 100 shop window, and I don't remember the size of the store, but it's a Mammut store. We see perhaps starting to see a return on Spain diminishing. But for the moment, we are not seeing that.
Warwick Okines: Good morning. Warwick Okines, from BNP Paribas Exane. Two questions about the U.S., please. The first is just could you give us a bit more insight into how you've traded what's obviously been a very promotional industry in the U.S. and tactically, how you approached the U.S? And secondly, perhaps for Pete, could you tell us what weeks cover you have of inventory in the U.S. and how that compares with your European business?
Pete Fox: Sure. So I mean, overall in the U.S., our stocks are higher one year-on-year at the end of July and that really reflects the kind of the anomaly, if you like, of the prior year, where we were kind of under stocked kind of running up to July. So stock cover has increased. It is elevated relative to the U.K., but not by a significant extent. And I suppose the thing to bear in mind with the U.S., when we're talking about kind of 100 new doors for the second half -- for the year as a whole, a lot of which is weighted towards the second half. Obviously, we've got stock that's in the business kind of ready for those new stores.
Regis Schultz: Yes. And I think that in the U.S., what happened, as you have seen we said, is June, we have been has been not a great month, which is a month where all our competitors went on discount, and we just didn't have the stock, and we follow what happened in the market. We are certainly the best retailer out there in terms of the difference between intake margin and gross margin because we don't discount. That's not what we do, and we tend to be clean at the end of the season. That's what happened in the U.S. in June. That's why we have a blip of sales in June. And when the new season come and start in July, you have seen some of our competitors in July was difficult. July was a very good month for us because we have new stock and it was a full price month. So yes, we will be always better when it's not around promotion and we are not a promotional retailer. But at the same moment, if we need to follow, we will follow. That's not something we will not do. But for the time being, our stock position is a good -- it's in a good -- it's where we want to be. In fact, I spend a lot of energy to get enough Air Force 1 in our stores. So monitoring store by store and to make sure because we were losing sales, especially in June, we had no Air Force 1, Triple White in our store, which is a better line. So we have been clear, and I think we get the commitment from Nike to make sure that we will never be out of stock of Air Force 1, Triple White and Triple Black in our store. And that's something where we are monitoring that week by week. So I would say, in U.S., more I'm more stressed about not having enough stocks than having too much stock because the way it happened in the market is that they look at us and they don't see how much growth we are delivering. So they see the rest not doing well. So they just manufacture -- just be a little bit surprised to get so much order. So they say, that's perhaps too much. We keep running out of our stock for the time being, which is a good problem to have.
Warwick Okines: Just a couple of quick follow-ups. Last year was all about footwear, while apparel was pretty weak. Have you seen any distinctive trends this year between the two sides of your business? And obviously, on minorities, you've now bought out virtually all of the minorities with the principal exception being that of the mergers. Is there any likelihood that you'll come to an agreement there? Or should we just wait for those call options to roll through as scheduled?
Regis Schultz: Yes. So good question. I think I don't remember last year have been really dreadfully, apparel is more volatile because the weather has an impact, whereas in footwear, it doesn't. So the good thing about having footwear and apparel when it was summer -- summer in U.K. was in June and September.  There was no summer in between. But when we had this fantastic weather, we did very well in footwear, and we sold short and T-Shirt and not a big piece. So I think that for me, apparel will have always more story than footwear, which is a steady business and with no impact of the weather or no significant impact. And the same for outdoor. Lee is running our outdoor business. I'm calling him Mr. Meteor [ph] because he's always coming at the trading call and saying it was shitty weather, okay. Can you give me something else on the weather? But if you need the weather, he is the guy for you. But -- so I think footwear has been doing better this year, a little bit better than apparel, but mainly because of this peak and all that stuff. But in total, our mix is not moving significantly. Concerning the minority shareholder, you had the last one and the big one is a U.S. one. I think that [indiscernible] are adamant that they want to continue in the way we are doing things. I think that we are not in hurry. I think we have an agreement that is in place. And that, as you say, which is 2025 and in full tranche. I think that that's the likely outcome of that.
Andrew Higginson: I think it's true. I mean we're very close to [indiscernible]. We've got a very good relationship with them. Regis expanded George's kind of remit by giving them the community brands to run so he's got DTLR and so on. So I think he's very happy in terms of the day-to-day life. And it's a very good relationship at the moment. So the shareholder agreements contain plenty of clauses to play out over time if they need it. But at the moment, it's a very happy coexistence really. No. But I think having them in a positive and operate in Shoe Palace and is good. And as you've seen with Iberia, which is less is 12 years, happy relationship. These things have a life. And at the moment, the life with [indiscernible] is a very happy coexistence. At some point, they may want to go out at some point we want to buy them out. But at the moment, it's a very steady state.
Alison Lygo: Hi, Alison Lygo from Numis. Can I just ask a quick question on kind of CapEx and sort of balance of the year in terms of investments, so 210 or so in the first half versus the guidance of 500 to 600 for the full year? Take that store kind of openings are more weighted towards the second half. Is that still kind of level of CapEx guidance you're expecting? Or is there a chance it might be kind of bottom end of the range or sort of below? I guess within that, is the question in terms of how you're feeling about that kind of store opening?
Regis Schultz: We are on track. I think that we will open 200-plus stores. So I think that is nothing that says that it will be different and we will spend the money.
Andrew Higginson: It's one of the great mysteries of life in every retailer, new space is always back ended. I never really understood it.
Regis Schultz: In our case, I think it's because we accelerated a little bit after the CMD. So hopefully, financially frankly, it will be much better to do first half than second half. So financially, it's a wrong decision, but we are for the midterm and long term. But financially, there is all reason to postpone and to open more in the first quarter than in the last quarter.
Andrew Higginson: Good. I think we're there. So thank you very much indeed for all the questions. That was the long list. And yes, we wish you well, and thanks to Regis for the first half and good luck for the second.
Regis Schultz: Thank you.